Operator: Thank you for joining Cutera's First Quarter 2020 Earnings Conference Call. After the prepared remarks, there will be a question-and-answer session. The discussion today includes forward-looking statements. These forward-looking statements reflect management's current forecast or expectation of certain aspects of the company's future business including but not limited to any financial guidance provided for modeling purposes. Forward-looking statements are based on current information that is by nature dynamic and subject to change. Forward-looking statements include among other statements regarding financial guidance, plans to introduce new products, regulatory approvals and productivity improvements. For words that may identify forward-looking statements, we encourage you to refer to the safe harbor statement in our press release earlier today. All forward-looking statements are subject to risks and uncertainties, including those risk factors described in the section entitled Risk Factors in our Form 10-K as filed with the Securities and Exchange Commission and updated in the Form 10-Q subsequently filed. Cutera also cautions you not to place undue reliance on forward-looking statements which speakers only as the date they are made. Cutera undertakes no obligation to update publicly any forward-looking statements to reflect new information events or circumstances, or to reflect the occurrence of unanticipated events. Future results may differ materially from management's current expectations. In addition, we will discuss non-GAAP financial measures including results on an adjusted basis. We believe these financial measures can facilitate and more complete analysis and greater transparency in Cutera's ongoing results of operations, particularly when comparing to underlying results for period to period. Please refer to the reconciliation from GAAP to non-GAAP measures in our earnings release. These non-GAAP financial measures should be considered along with, but not as alternatives to operating performance measures prescribed by GAAP. With that, I would like to turn the call over to our CEO, David Mowry. Please go ahead.
David Mowry: Thank you, operator and to those on the call, we appreciate you joining us today for this update. As you know the COVID-19 pandemic is an unprecedented crisis that is placed tremendous pressure on our industry. So, before we begin, I would like to take a moment to share my appreciation for our amazingly resilient customers and to extend my deepest gratitude to the global Cutera team for their selfless dedication and personal commitment throughout this challenging time. Today I'm joined on the call by Jason Richey, President and Chief Operating Officer as well as, Fuad Ahmad, our Interim Chief Financial Officer. I will begin today's call by providing a brief overview of our first quarter's business results and operational highlights, discuss the impacts of COVID-19 on our first quarter and quarter-to-date results and share steps we have taken to mitigate the financial impacts of COVID-19 on our business. Jason will then highlight some of the operational adjustments we have made in response to the pandemic and how these will carry through the rest of fiscal year 2020. Following Jason, Fuad will provide a high level review of key financial performance indicators and detail the steps we have taken to strengthen our balance sheet. We will then conclude with a question and answer session. Our first quarter of 2020 performance reflected the strength and balance of our business exiting fiscal year 2019. Offset by the significant impact of COVID-19 late within the quarter. Through the first two months of 2022, Cutera demonstrated strong sales across all product categories versus prior periods and continued to deliver strong growth from our international business, providing great balance and fueling our bullishness for an overall business prospects. However, this balance was dramatically disrupted as a static practices were rapidly and dramatically impacted by the COVID-19 outbreak and the subsequent shelter in place orders. We initially experienced a slow decline of business associated with the initial COVID-19 impact in the Asia-Pacific region, particularly China and Korea. However, this initial impact was relatively immaterial for us as these regions comprise a smaller portion of our overall global revenue mix. As the virus spread at Italy, other European countries and then the Middle East, government began to impose tighter restrictions on travel and gatherings. As a result, we canceled several end of period workshops in many of our customer suspended capital equipment deals that we had planned to ship within the quarter. The COVID-19 impact accelerated as the virus took hold of North America, causing a near complete shut down across the continent. These effects escalated in the final two weeks of March, when a number of practices were forced to suspend procedures and in many cases completely shut down in response to shelter in place orders issued by state and local government. Our capital sales were significantly impacted throughout the month of March, as travel restrictions and shelter in place orders unfolded. Capital equipment revenues represent approximately three quarters of Cutera's total sales and these deals are heavily back-end loaded within the quarter. The US shutdowns remained in effect throughout April and while a few states have recently allowed certain practices to reopen, most of the larger geographies extended their shutdown orders well into May. Some of the international geographies remain open in a limited capacity and we are starting to see additional countries move toward measured and stage reopenings that begin allowing procedures. As offices reopen, we expect patient traffic to be light initially, ramping steadily through the back half of the year as restrictions are lifted and patients become more comfortable and undergoing office procedures. As patient traffic begins to recover, we expect consumable sales and service revenues to rebound first. A pattern that we have seen in our industry during previous disruptions to the economic cycle. Having stayed very close with our core customers throughout the pandemic related slowdown, we believe that there is pent-up demand for aesthetic procedures associated with our core customers, specifically aesthetic dermatologists, dedicated established aesthetic practitioners and plastic surgeons. We also know that a great many of these core customers have embraced telemedicine during their office shutdown period, using this tool to perform aesthetic consults with their patients. These consoles were intentionally conducted to help accelerate their practices recovery by reducing the time between their office reopening and performing cash pay procedures. We are told that many of these core customers are fully booked for their expected reopenings. Office managers are scheduling procedures in anticipation of a May or June reopening depending on location and other factors and several customers in larger metropolitan areas are planning to run extended hours, once reopen to satisfy pent-up demand and avoid loss of their clients. It is important to remember that this timeline is fluid and wholly dependent on the lifting of stay at home orders and other restrictions related to the COVID-19 pandemic. Once offices reopen, core customers could see a surge in procedure volume over the course of a few months from patients that were unable to get treatment during the shutdown. We expect the procedure volume will ultimately flow through to Cutera's consumable revenues, delayed slightly as customers attempt to deplete existing consumable stock on hand from the lower treatment volumes from mid-March through April and into May. In addition to the consumable revenue, we believe that service activities will return quickly as offices reopen, as core customers will need to schedule typical preventative maintenance activities and occasional repair request that keep their equipment running optimally. Overall, we believe that these core customers will see a quicker recovery in patient traffic, than the non-core customers such as Med Spas. This is similar to the recovery trends from 2008, as non-core customers experienced a slower pathway back to pre-crisis levels. As all of our customers deal with the financial challenges from extended closures, the demand for new equipment will likely diminish over the near term as practices keep a tight grip on their capital. While there will be equipment deals happening as few did in April, these deals are expected to be highly competitive, very price sensitive and coming in at a greatly reduced rate. Regardless, we are working hard to better position our resources to effectively partner with customers over the longer terms. You will hear a bit more about this from Jason shortly. Most customers will need some time to recover from the COVID-19 disruption before committing to any significant outlay of capital. The return of consistent patient traffic will rebuild both their balance sheet as well as their confidence in making future equipment purchases as we are spending our time and helping them achieve this shared goal. We have modeled the market recovery in phases grouped by product category and by geography, taking a conservative viewpoint on the return of revenue. Giving our revised plan and the remaining uncertainty over the duration of the slowdown, we have taken several steps to mitigate the financial and operational impact of COVID-19 on our business. These activities fit into three categories. First, cost cutting and cash preservation efforts to right size our business and extend our operational runway. Second, supply chain reliability and optimization. And 3rd, strengthening our balance sheet to ensure we not only survive the downturn but have the required capital to accelerate into and through the recovery phase. Turning first to our cost cutting and cash preservation efforts, these measures included furloughing the vast majority of our hourly workforce. Consolidating back office operations and eliminating redundant positions from the new structure. Implementing tiered salary reductions across the organization, up to and including our Board of Directors and suspending several corporate projects and programs which we're no longer accretive within the near term. Additionally, current shelter-in-place orders have allowed us to avoid significant expenses, with the reduction of employee travel, cancellation of trade shows and the suspension of workshops and live promotional events. With respect to cash preservation, we have negotiated several amendments to service contracts as well as deferred non-critical facility support activities during this interim period of shutdowns. Some of the steps we have taken to ensure continuity of our supply chain and maximize the efficiency of our working capital, include reducing production volumes to accelerate the monetization of finished goods inventories, advancing contract manufacturing efforts with lower cost, US based operation, working with suppliers since the initial reports of COVID-19 in January to ensure uninterrupted supply of critical components and engaging with our freight carriers, regional distribution centers and local sales teams to stock forward locations to avoid any potential customer delivery delays or shipment quarantine periods. Moving now to our focus on strengthening the balance sheet. Exiting 2019, we had roughly $33 million in cash with no debt. As this is the case each year, first quarter activities typically drive cash consumption with seasonally lower revenues on the same bases fixed expenses. First quarter 2020 liquidity was further challenged by inventories built in anticipation of equipment deals that did not close due to the COVID related factors. The net outcome of our operations resulted in $19.5 million cash at the close of first quarter. As we constructed the various financial scenarios for the rest of fiscal year 2020 and considering the financial and liquidity challenges from COVID-19, we believe that it is important to have the capacity to weather the downside scenario of a protracted COVID-19 recovery. We assess topline impact, the various cost saving efforts and the monetization of inventories as well as the likely expansion of receivables as customers push out their payments to us. In considering the liquidity requirements, we also made conscious decisions to protect critical assets and to retain the ability to advance the transformational initiatives already underway prior to COVID-19. Primarily, our pursuit of market leadership in body sculpting market, bolstered by the recent launch of truSculpt flex and our R&D programs focused on developing breakthrough products such as our innovative approach to acne. While many of these cost cutting decisions were difficult and unfortunately impacted several amazing people, folks, I consider close teammates, they were choices necessary to ensure the long-term health of the business. I'm very confident that the management team has executed a thoughtful and measured plan which provides Cutera with the requisite cash runway, retains the needed access to critical recovered resources and insures our ability to deliver the services and support our customers need during this challenging time. I'm confident that Cutera will move through the COVID-19 prices and exit leaner, meaner and hungry to take share. And now I will turn the call over to Jason.
Jason Richey: Thanks, David. As we rapidly transitioned into the COVID-19 environment at the end of Q1, the Cutera team pivoted quickly to adapt to these new and unfamiliar conditions. In doing so, I was impressed with the agility of our team to align around clearly define priorities to weather the storm and stay focused in prime to execute. As we established our priorities, we committed to the following. First, the health and safety of our employees, our partners and our customers. Second, connecting daily with our active installed base of customers. Third, reaching out to our Medical Advisory Board to gain their input and ensure we were aligned with them on activities and messaging. Fourth, staying hyper-focused on our core customers. Fifth, remaining flexible and finally committing to the resources and programs necessary to accelerate us through the recovery period and assist our clinician and getting up and running as quickly as possible. Once we established our priorities and daily focus, we ensured that our commercial teams knew working environment was organized and structured. Our sales, marketing, and service teams have been working hand-in-hand to make sure no time is wasted during shelter-in-place. Each member of our commercial team has a tight daily schedule that is hyper-focused on connecting with our customers, listening to their concerns and leveraging our resources to assist our customers as they work to manage their practices, retain their employees and fill their schedules and preparation for reopening the practices. After consulting with our Medical Advisory Board, we launched several important educational tools to assist our customers as they navigate this challenging time. First, we created a long series of webinars led by global thought leaders covering a wide array of topics that include everything from how to conduct virtual consultations, to how to unleash your device portfolio to get up and running as quickly as possible. Second, we created the Cutera Survival Guide and trained our commercial team to effectively deliver this information to clinician. The guide was developed to help physicians manage through COVID-19 by covering topics that include how to apply for a small business loan, how to renegotiate your lease on office space in capital equipment, how to market your practice using social media and how to line up patients for your clinic once you reopen your doors. Finally, we are working closely with our clinicians to help where we can. We've extended discounts on our consumables that will help clinicians get back on their feet more quickly as their office procedures ramp up. We have also extended our service contracts to couple of time loss while clinicians were unable to treat patients in their offices. As we adjusted our daily activity, we accept the fact it will take some time to get back to the environment we were accustomed to. We have revisited our commercial strategy and made necessary adjustments to how we will work for the balance of 2020. As virtual meetings, consults, demonstrations and educational programs will certainly play a big role in our new normal, we are actively evaluating additional ways in which we can pivot as an organization to partner with our physicians and bring patients through their doors. Specifically, we are preparing for evaluating the following scenarios. First, evolving our demonstration and workshops to smaller more localized events that allow virtual participation. Second, working with practices to drive procedure volume with a focus on skin revitalization and body sculpting by driving lower-cost, high impact procedures like laser genesis and microneedling. In addition, we are leveraging our body sculpting portfolio to promote losing the COVID 15 by driving packages for truSculpt ID and flex. By doing this, we feel increased patient traffic will present opportunities to conduct increasing capital transactions along the way. And third, we are evaluating select utilization of alternative models, which lowered the initial capital commitment, enabling customers the time needed to rebuild their practices and balance sheets without compromising their equipment choices. While we have an idea of the activities that need to take place in order to drive recovery via patient demand, we have limited visibility into the exact time [indiscernible] by region as restrictions are amended but not yet consistently understood or embraced. But rest assured, in both North America and internationally, we have a team in place that is executing daily and is eager to get back in front of customers as soon as shelter in place is behind us. Finally, I'd like to touch on our R&D focus. Despite the COVID-19 pandemic, our focus remains on long-term portfolio differentiation through two key initiatives. One, continuing to evaluate opportunities to introduce practice expansion capabilities by a refreshing our legacy portfolio and complementing our verticals with best-in-class devices that introduce disruptive technology. And two, a commitment and focus on bringing energy-based solutions to treating some of the Blue Ocean opportunities within the aesthetics space, including a permit care for chronic and recurring acne. As we continue to advance through the product development and clinical research processes, we're hopeful to launch our acne solution in 2021 with our core physicians. I'll conclude by saying that despite all the challenges COVID-19 has created for the global aesthetics space, I'm incredibly proud of our team and how they have reacted to this new normal. I'm confident that changes we have implemented will position us well exiting this challenging time and I believe we will emerge from this pandemic lean, mean and ready to execute. The team is hungry and eager to get back in front of our customers. And now, I would like to turn the call to Fuad to review first quarter financial highlights.
Fuad Ahmad: Thank you, Jason. Before I begin please note prepared remarks will focus primarily on non-GAAP results, unless otherwise noted. A reconciliation of GAAP to non-GAAP is included in our earnings release and we encourage listeners and readers to review our non-GAAP metrics in conjunction with the GAAP results as contained in our earnings release. I will now go over our results for the first quarter of fiscal 2020. As Dave and Jason discussed, the first quarter of fiscal '20 was a difficult one, as we were severely impacted by COVID-19 pandemic. Shelter-in-place or similar orders all but halted our sales activities in North America and rest of the world during the most productive part of the quarter. We entered fiscal '20 with tremendous momentum by virtue of achieving well above market revenue growth rate for both the 4th quarter of fiscal 2019 and full year 2019. Despite these challenges, our commercial team displayed great tenacity in the first quarter and we continue to reap benefits of their hard work into the second quarter. Now to the numbers. Total revenue for the first quarter of fiscal '20 was $32 million compared to $36 million for the same period last year, a 11% decline. This decline is attributed entirely to our inability to conduct meaningful sales activities for much of March. US revenues are particularly deep 32% decline compared to the same period in 2019, while international revenue grew 18% to &18.5 million. International revenue growth was result of our ongoing efforts to build our international commercial team. We also saw strong growth in skincare business in Japan, which grew nearly 80% over 2019. Global consumable revenue grew 30% year over year to $2.5 million, while consumable revenue grew over same period last year. It was well below our expectations due to closures of physicians' offices in the first quarter because of COVID-19 related shutdowns. Service revenue grew 11% over last year to $5.8 million as a result of having an increasing number of systems under extended service contracts. For the first quarter of fiscal '20, total recurring revenue including consumables, global service and skin care categories grew 28% over the same period last year to $11.3 million. Recurring revenue represented 30% of the total revenue in the first quarter of fiscal '20 versus 25% in the first quarter of 2019. We remain committed to driving increase recurring revenue streams in order to improve our visibility, durability and profitability over the long term, as our revenue mix continues to balance. Moving to expenses; for the first quarter of fiscal '20, we recorded non-GAAP gross profit of $14.8 million compared to $17.7 million for the same period in 2019. Non-GAAP gross margin in the first quarter of 2020 was 45.8% versus only 49.1% for the same period last year. The reduction in gross margin as a result of significantly lower overhead absorption due to lower revenue. Non-GAAP sales and marketing expenses for the quarter were $13 million, compared to $14.4 million for the same period last year. This decline is a result of substantially lower variable compensation and suspension of all marketing activities in the second half of Q1. Total non-GAAP R&D expenses were essentially flat year-over-year. Finally, on to G&A expenses; for the first quarter of fiscal '20 non-GAAP G&A expenses were $6.6 million compared to $4.5 million in the same period last year. Growth from the prior period was a result of significantly higher bad debt reserve in the wake of the current situation, as well as higher compensation expense associated with key leadership additions in fiscal 2019. For the first quarter of fiscal '20, our non-GAAP operating income also called adjusted EBITDA was a loss of $8.3 million compared to the loss of $4.7 million for the same period last year. We experienced no material or significant changes to our tax positions. I will now discuss our balance sheet and liquidity position, with a focus on our ongoing cost reduction and cash conservation method. We ended the quarter with approximately $19.5 million of cash and equivalents compared to $27 million at the same time last year. In response to continuing uncertainties surrounding COVID-19 and its impact on our business, we were forced to make some difficult decisions in order to materially reduce our cost structure. We followed most of our production staff along with some sales and marketing position. By following these employees retain the option to bring them back into the business conditions improve, we also eliminated certain positions in our sales and marketing department in addition to reducing 3rd party promotional and marketing spend. While the reductions were deep, we feel we have created a right structure to not only survive this crisis, but also preserving company's core drivers of long-term value, such as key R&D staff and projects. Please note, that our first quarter results didn't include the impact of these cost reductions which will materialize beginning in Q2 of fiscal '20. We are working with our vendor partners to conserve cash by pending payments, deferring purchases and limiting future cash exposures on material spend. We ended the quarter with $37 million of inventory. We have to spend in much of our material purchases and have plans to burn through our inventory order next two to three quarters. We believe our available liquidity and cost reduction efforts provide us the runway we need to withstand this current crisis without needing any additional capital. However, as a company we felt it prudent to bolster our liquidity to help withstand a potential prolong shut down and to be well positioned once the business begins to improve. In April, we closed on equity offering raising approximately $27 million in net proceeds. Additionally, we also received payroll protection program or PPP loan in the amount of $7.1 million with the specific purpose of preserving key positions and keep employees on payroll who would been released, otherwise. Out proforma cash position following our financing efforts is $53.5 million and that combined with our sensible cost reduction efforts puts us in an enviable position relative to the market, and several of our impacted competitors. Turning now to guidance, due to lack of visibility to the magnitude and duration of the impacts surrounding COVID-19, we have withdrawn our previously issued guidance and will not be issuing revised guidance at this time. With that I will now turn the call back over to Dave for some closing comments.
David Mowry: Thanks, Fuad. We will open the call to questions in a moment, but first I would like to provide some additional color on our financial outlook. While we took strong and decisive action in reducing expenses, the net effect of the reduced revenue expectations will not be fully offset in the short term. Additionally, some of the cash preservation activities such as monetizing inventories will have a direct impact on our gross margin performance. Therefore we expect to consume cash during both Q2 and Q3 and see a reversal starting in Q4. Our cash generation will continue to improve throughout the remainder of fiscal 2020 as system revenue stabilizes and contributions from cost cutting activities normalize. We will also be burning off inventories, sitting in our finished good warehouse. Additionally, we believe that many of the cost cutting steps taken to date will provide a step forward in our pursuit of higher profitability as we work from a much leaner, more scalable structure. With that, I would like to turn the call back to the operator for Q&A.
Operator: Certainly. [Operator Instructions] Our first question comes from the line of Jon Block from Stifel. Your question, please.
Unidentified Analyst: Hi. This Trevor [ph] on for John. Thank you for the question. Due to a really strong quarter in the international business, and I'm just wondering if we're thinking about the international segment in the absence of COVID-19 where do you think this could have been in terms of year-over-year growth? Thanks.
David Mowry: Yes, thanks Trevor. It's a great question. We remain very blister in the first part of the quarter and that was propped up quite a bit by the strength of our international performance. The investments that we had made back a year, year and a half ago in new management, new structures, we were continuing to pay dividends, not only in Japan and Australia and New Zealand, who will continue to do amazing work, but we're starting to see the same performance results escalate in the European environment as well as new teams are being developed and new techniques and new processes are taking hold. So, I think that we still have a long way to go with international. We're significantly under-penetrated as a company in our international market as compared to how we perform in the US and I think that we will continue to see that significant strong growth from the international component over an extended period.
Unidentified Analyst: Great. Maybe just to follow-up on the APAC business specifically. Any color on what you're seeing in these markets, just in terms of leading indicators what we could see in the US as we move forward?
David Mowry: Jason, maybe you can just highlight your view on Japan and Korea and China.
Jason Richey: Yes, it's a great question. Looking at Japan, Korea and China, it's still a peak a haven, there is a lot of energy and enthusiasm around PICO Genesis for skin [indiscernible] lightening if you will. However, I think we're going to see some growth in the body sculpting business specifically as we're seeing a lot of momentum and enthusiasm around that. Our goal is to launch our flex device hopefully latter part of this year and these key markets and I think there's a lot of enthusiasm around that. So we've got the inventory in place and I think we've got the team in place. And our goal is to get flex over to Asia Pac as soon as possible, because I think that's going to be one of the key products to really drive for at least the next, call it 12 to 24 months.
David Mowry: Yes, I would just add from a behavior perspective, we know that Korea came back online with kind of a lower participation rate as things started to ramp back up, similar in China. This is less of an economic issue, I think for customers as it is an awareness and an exposure. But the thing that we are realizing and I think it's kind of a telling factor is that we don't believe this to be a patient flow or patient traffic issue. We actually think that -- if you are the governor on patient traffic, in a lot of cases may reside within the practice. Being able to provide social distancing within their waiting rooms, being able to wipe down and clean out rooms after a patient comes through there in order to protect me, have an immediate impact on their capacity and I think we're certainly anticipating that from what we've witnessed in other geographies. That's why in the comments, we said, we believe it will be light initially until these routines become more habitual, more regular, and more understood within the practices and then they'll be able to ramp a little bit more aggressively. I hope that helps you, Trevor.
Unidentified Analyst: Great, yes, that's a great response. Thank you.
Operator: Thank you. Our next question comes from the line of Matthew O'Brien from Piper Sandler. Your question, please.
Matthew O'Brien: Afternoon, everyone. Thanks for taking my questions. Either Dave or Jason, you mentioned the push on the new system side of things, some are probably in the $8 to $10 million range globally. How do we think about those orders specifically, are they just outright canceled or do you have any kind of line of sight as far as deferrals and when they may come back and then what you may need to do from a pricing, financing flexibility perspective in order to re-acquire those customers in those sales?
David Mowry: Yes, let me hit that at a high level, Matt and we'll let Jason kind of give you some specifics. First of all, I want to thank you for dialing in and being part of this. The big picture here is that we know that several to capital deals we're probably more deferral, than they are a cancellation. We know that their need -- in some of the distributor markets they know there is need, but they also know that they can't be exposed from a cash perspective, either. So this is going to be probably a little bit more of an individual decision for them as they pick up the deals that they had previously committed to. We're working individually with those distributors and like I said, we believe that the vast majority of this is deferral by a quarter or two and not necessarily a cancellation. So, we think international will rebound as well. Similar to the US, it's a matter of confidence, economic confidence and seeing the patient traffic. I think the second part to your question though is really more about what it really takes and how do you get there. And I think, Jason has got a great program laid out and maybe you can walk through that, Jason.
Jason Richey: Yes, I mean we're looking through step by step, what we're doing by country in order to make sure that we get them back online. We've looked at a couple of different scenarios in which we can better place capital within some of these key markets and really get our customers up in using this technology and so we're evaluating a lot of that now. To Dave's point, I think a lot of this is just a deferral. The enthusiasm for the portfolio is quite high internationally, and I think a lot of this is just a matter of getting some of the consumer confidence back in place. As they start to see patients coming through their doors, they're going to get more confident to potentially pull the trigger on that. So in our discussions with our distributors and with our international clinicians, it's really more around just, hey, can we push this up until the summer or maybe early fall in order to just sort of get some of these things sorted. I mean we had a conference in Australia right before shelter in place, we had 140 clinicians there and all of them very eager to get into the pieces of the portfolio, but it's just a matter of saying okay, when am I going to feel comfortable to do that. So we're working with clinicians in country by country specifics in terms of trying to find ways to ease them into capital and find ways in which they can utilize the technology to help bolster their practice and drive volume.
Matthew O'Brien: Okay. That's really helpful. And then can you just help frame up maybe a little bit as far as the thought process, I mean every metric that I was modeling for Q1, you actually hit or beat except for North America. So there is good momentum in a lot of the business outside of what happened here in North America. How do we think about Q2 just some error bars around, what the revenue could look like maybe versus Q1, how bad could it be to what you see maybe in April and then same kind of question on the OpEx side of things, how much are you you'd be able to save? And my apologies as I have one more question after that.
David Mowry: Okay, well take this one at a time. That's a really deep question and I think it's an appropriate one to answer to the folks on the call, so thanks for putting out on the table. You know, from my perspective, I think revenues in the quarter is still yet to be understood. We know for a fact that April was near shutdown type of behaviors for our customers. Even in that environment, there were still some capital deals to be had, there were few and far between unfortunately as a result of the environment. But I think there is capital that we had in capital deals to be had and the thing we want to be very cautious of is to not fall prey to letting it be drop your price mentality and let people be too opportunistic to take advantage if they have capital to pay relatively low prices, because that would be a long-term impact on the business that we think this to be more transitory, right? So we want to be careful not to kind of fall prey to that kind of an outcome. So that's the first point I guess I'd make. The second thing is, we also know that those near close -- near shutdowns, if you will, prohibited two things, prohibited patients from getting treated, which didn't allow the consumables uptake. So those things set on the shelf in the physicians' offices. And then secondarily, it didn't allow us to provide service. So a lot of the equipment is sitting in the office needing preventive maintenance and all that schedule is going to have to be caught up with a very finite amount of resource. So, our challenge is kind of two fold here, it's to make sure that we are triaging [indiscernible] getting our customers up and running as quick as possible allowing them and helping them bring their patients into the practice. And then secondarily, and probably most importantly, from our perspective is making sure that you know we're not doing anything that causes long term harm to our company by how we're kind of moving through these next several weeks. On the OpEx side, I would say that look at the shelter in place came in kind of a three-stage approach rate. They came out first with the kind of a little bit of this is going to be problematic and we really think you should slow down or not travel et cetera, then it became a shelter-in-place and then the shelter-in-place has got extended and then even in Northern California, they get extended again. So as we look at that, we're very cautious to know that we know it's coming back, we just don't know the date or the time and I want to be very careful. So as we went through that timeline, you want to be careful not to over-cut or get too far ahead of yourself. So we've gone through our belt tightening exercises here with a view to save on the long term but those good executed at a point where we've incurred a vast majority of our expenses early in the quarter for the people that we thought we would need for the recovery that we're still to happen in May. Now that's been pushed off a period and the speed of that recovery may be delayed. We were able to make a little bit more aggressive decisions and put those in place. But the benefit of those really aren't going to come to the late part of this quarter and really be shown on our balance sheet and on the P&L probably in Q3 in particular.
Matthew O'Brien: Got it. And again, thanks for the third question here. I know everybody is worried about what's going on here in the near term and I understand that, but the commentary from Jason on the launch of acne in 2021 certainly is very appealing or compelling to me anyway. Can you just talk about how that launch will look or will it be a real measured launch second half of the year and then any thoughts as far as what the indications may look like as you do you know that technology out?
David Mowry: Let me hit a couple of points and then certainly, Jason, if you have additional comments may be come over the top of that. But first of all, I think you're thinking about it right, Jason said 2021. We're doing everything in our power to accelerate those timelines as you would imagine, we were hopeful that that would be a kind of a much earlier 2021 launch. However shelter-in-place and delays in practices have kind of suspended our ability to enroll patients, right? So that has delayed us a little bit, day per day at this point unfortunately, but I can tell you that we've taken that extra time to really make sure that we're honing not all of the product, but the protocol necessary to get the optimal outcomes. So, this may not be -- this may into being a silver lining for us in the company to make sure that as we do roll this out, it's being rolled out in a way that has very robust and durable outcomes. As we launch this and bring it into the market, it will be a kind of an approval that allows us to get to the market with an acne treatment that folks feel good about with good clinical data. But this is really a very different type of launch than most aesthetic products because we believe the depth of not just the clinical data, but the clinical evident and the appeal not just to the aesthetic dermatologists but to the med terms in particular could be quite critical in having a successful launch here. So we're taking the time to build this structure, to build the foundation of clinical evidence and using an evidence-based technology approach to launching this into the marketplace. So like I said, this could be a little bit of a silver lining for us to slow down enough to make sure that we have better and deeper datasets. It allow us to be a lot more focused in the launch. I will tell you that our view here is that this is a core customer product. It is not a product that the dentist is going to put into his practice and treat acne patients. Acne is a significant portion of the dermatology practice roughly one in three patients are there for acne or some form of acne and we want to make sure that what we provide is really focused on allowing the dermatologists to treat that acne with high degrees of success at a low friction point, if you will, for both the patient and the customer, our doctor, right?
Matthew O'Brien: Very helpful. Thanks for taking all my questions.
Operator: Thank you. [Operator Instructions]
David Mowry: Well, operator I guess if there are no more questions, we can just close. I do have a couple of comments just in closure. First of all, I want to wish each and every one of you on the call to stay safe and do the right thing. I think we are obviously flattening the curve with our behaviors and they really appreciate the way everyone is amended their behaviors to do so. I also want to just say that we recognize that the current situation is transitory, right? We are here for the long term and we're committed to the long term and the premise of that long-term has been what's informed our decisions and allowed us to ensure that Cutera will be well positioned to not only recover quickly, but provide an unmatched level of support to our customers around the world. I'm special thankful to our team of professionals who are working alongside a very, a very resilient group of customers and we are equally committed to rebuilding our businesses together. So thank you for tuning in today and look forward to future updates.
Operator: Thank you, ladies and gentlemen for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.